Operator: Good morning, ladies and gentlemen. Welcome to Group 1 Automotive 2020 First Quarter Financial Results Conference Call. Please be advised this call is being recorded. I would now like to turn the call over to Mr. Pete DeLongchamps, Group 1's Senior Vice President of Manufacturer Relations, Financial Services and Public Affairs. Please go ahead, Mr. DeLongchamps.
Pete DeLongchamps: Thank you, Ian, and good morning, everyone, and welcome to today’s call. The earnings release we issued this morning and the related slide presentation that include reconciliations related to the adjusted results that we will refer to on this call for comparison purposes have been posted to Group 1's website. Before we begin, I'd like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to, risks associated with pricing, volume, conditions of the market, adverse developments in the global economy, as well as the public health crisis related to the COVID-19 virus and resulting impacts on demand for new and used vehicles and related services. Uncertainty regarding the duration and severity of COVID-19 and its impact on U.S. and international authorities to ease current restrictions on various commercial and economic activities and uncertainties regarding the timing, pace and extent of an economic recovery in the U.S. and elsewhere from the unknown current and future impacts of COVID-19 and unknown future impacts on oil producers and the effects such can have on travel, transportation and oil prices, which in turn will likely adverse affect demand for vehicles and services. Those and other risks are described in the company's filings with the Securities and Exchange Commission over the past 12 months. Copies of these filings are available from both the SEC and the company. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating on the call today, Earl Hesterberg, our President and Chief Executive Officer; John Rickel, our Senior Vice President and Chief Financial Officer; Daryl Kenningham, our President of U.S. and Brazilian Operations; and Michael Welch, our Vice President and Corporate Controller. I'd now like to hand the call over to Earl.
Earl Hesterberg: Thank you, Pete, and good morning, everyone. For the first quarter, Group 1 generated $30.6 million of adjusted net income and adjusted earnings per share of $1.66 per diluted share, decreases of 20% and 19% from the prior year, respectively. Through February, we were on pace for record first quarter results in both the U.S. and U.K. Our March results, however, were devastated by shelter-in-place orders in nearly all of our U.S. markets, as well as a complete shutdown of our U.K. operations. As previously announced, in March, we acted swiftly to reduce costs by furloughing 3,000 U.S. and 2,800 U.K. employees, reducing the compensation of all executives, board members, corporate and support personnel and significantly reducing advertising and CapEx in addition to receiving support from numerous vendor partners for reduced pricing. During early April, we furloughed an additional 1,800 U.S. employees as we further adjusted staffing levels to sales volume. We also announced the suspension of our quarterly dividend and the cancellation of our share repurchase program. The personnel actions were especially regrettable but were unfortunately necessary to preserve capital during this unprecedented economic event. After the first week of March, mostly all of our showrooms in the U.S., U.K. and Brazil have been progressively brought into a state of closure, leaving online sales as our primary means of selling vehicles. We were unable to deliver about 35% of the vehicles we had contracted to sell in March in the U.K. And of course, that's the biggest selling month of the year. Our showrooms have been completely closed in the U.K. since mid-March, and our workshops are only open for emergency service work, which does not generate material gross profit. In the U.S., our workshops have generally remained open, unlike many of our showrooms, but the flow of service customers has been down 40% to 50% since mid-March, simply because most of our customers have been living under shelter-in-place orders. The closure of most of our U.S. showrooms since mid-March has reduced new and used vehicle sales by a similar percentage. Without strong OEM incentives and Acceleride, our effective vehicle online purchasing platform, I expect the drop in vehicle sales would have been even greater. As April progressed, we began to see some rebound in our week-over-week sales base in the U.S. market. For the final week, retail unit sales were down approximately 25%, and service revenues were pacing about 30% lower than prior-year levels. With sales and service beginning to recover from the lows we experienced at the start of April, we're starting to recall back some of our furloughed employees in the U.S. and anticipate being able to add back approximately 500 U.S. employees by June. We will continue to monitor sales levels and adjust staffing levels as necessary. We can see some level of pent-up demand, especially in service, but it's not yet possible to quantify what that might be over the course of the coming months. I'll now turn the call over to our CFO, John Rickel for a balance sheet and liquidity overview. John?
John Rickel: Thank you, Earl, and good morning, everyone. As of March 31, we had $19 million of cash on hand and another $83 million that was invested in our floor plan offset accounts, bringing total cash liquidity to $102 million. In addition, there was $258 million of additional borrowing capacity on our U.S. syndicated acquisition line, bringing total immediate liquidity to $360 million as of March 31. In April, as previously announced, we redeemed all $300 million of our 5 1/4% bonds due 2023. This redemption was funded through acquisition line borrowings, mortgage borrowings and cash on hand. We funded over $130 million of mortgages in April with another $50 million in process and plan to be funded in May. We currently have approximately $225 million in liquidity in the U.S. before the additional mortgages and ample local liquidity in the U.K. and Brazil. We do not have any material debt maturities before our 5% bonds are due in June of 2022, and our $1.75 billion U.S. credit facility was extended in 2019 through June of 2024. Our U.S. credit facility rent-adjusted leverage ratio was 3.31 times at the end of the first quarter, leaving plenty of cushion under the 5.5 times limit. Finally, as Earl mentioned, we previously announced the suspension of our quarterly dividend and the cancellation of our share repurchase program, as well as capital expenditure deferrals to preserve liquidity. We feel comfortable that our balance sheet and liquidity position is adequate to carry us through the severe downturn until revenues are expected to start recovering in the second half of the year. For additional detail regarding our financial condition, please refer to the schedules of additional information attached to the news release, as well as the investor presentation posted on our website. I'll now turn the call back over to Earl.
Earl Hesterberg: Thanks, John. This concludes our prepared remarks. I'll now turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: [Operator instructions] Our first question comes from Rajat Gupta of JP Morgan. Rajat, please proceed.
Rajat Gupta: Good morning, everyone, and thanks for taking my question here. The first question I had was on the furlough actions. It looks like you've reduced roughly 52% of your employee base as of 2019. You're starting to get back some employees, and you talked about adding 495 employees by June. That's just like 10% of the U.S. workforce that was furloughed that is being added back. Can you give us a sense of what kind of demand projections are those based on just being the lower number? And then all the furlough actions, could you give us a sense of how much of that are likely to be permanent in nature? Or is that sought – and like within that, are there going to be more on the sales force side or on the service technician side? Just trying to get a sense of that, and then I have a follow-up. Thanks.
Daryl Kenningham: Rajat, Daryl Kenningham responding. When we made a determination to add back some people, it was based strictly on productivity based on the sales results we were seeing in April and based on our ability to respond to customers mainly through the Internet. We set some very specific metrics on sales per salesperson, hours per technician and sales per F&I and sales manager. And we use those metrics to determine how many people we should bring back based on the demand we were seeing at the time and based on a modest forecast for May. And we expect that we will do that moving forward. And then your second question was how many of the actions we took are permanent? I'll let Earl add some color to that. But honestly, we're being very cautious with our costs. We want to trickle our costs back into our business because there's so many variables right now in it. And that's what I would add from the U.S. side.
Earl Hesterberg: Yes. And this is Earl. The point is that Daryl is making is we have to be as responsive and reactionary as possible. I would hope that, at some point, we could bring all of the furloughed employees back. But I have no idea what will be possible until we see how the market develops, and I've not been able to speak to anyone that can really provide any clarity on what the future holds. So until there is some clarity, we'll continue to react as quickly as possible. But I would hope that none of the reductions enforced are permanent, but the business will dictate that.
Rajat Gupta: Got it. Got it. Okay. That's helpful to know. And then on Acceleride, I mean what percentage of your sales in the – at least in April or like toward the last couple of weeks of April or into May, what percentage of sales are happening through that platform? And then like, could you also give us a sense of what the unit economics are looking like for the online sales, both from a gross profit and SG&A perspective? Thanks.
Daryl Kenningham: Daryl Kenningham, Rajat. For the month of April, we were – Acceleride was 7% of our sales. It accelerated as the month progressed. That's up from normally what we had been seeing historically was 2.5% of our sales were Acceleride. The unit economics are different than what we've seen versus our averages historically. What you've seen on previous calls in our previous reporting is that our gross profit numbers on Acceleride sales are very comparable to what we're seeing on non-digital sales. We're seeing our Acceleride leads are up 60% versus January and February. Our sales were the highest they've ever been in the month of April. We're seeing some interesting things when customers get to the credit application in Acceleride. Their engagement has grown 35% since the COVID crisis started, which when customers engage in the credit app, that usually means they're at the buying signal. So we're watching that very carefully. And then across the country, on average, about 20% of our sales are home deliveries.
Rajat Gupta: Got it. That's great color. Thanks for the answers, and I'll jump back in queue. Thanks.
Earl Hesterberg: Thanks.
Operator: And our next question comes from Rick Nelson with Stephens. Rick Nelson, please proceed.
Rick Nelson: Thanks. Good morning, guys. So I got a hung up little bit late here, but I'm curious, you spoke to last week, U.S. sales down 25%, service and parts down 30%. What are you seeing in markets that have opened up?
Daryl Kenningham: Rick, this is Daryl. The shelter-in-place, there's two things that we're seeing. One is the shelter-in-place markets that are very strict that obviously has a much bigger impact on sales. And we're seeing that, whether it's California or New Jersey, for example. We're also seeing markets that have a heavy concentration of full-size pickup trucks; those markets tend to be doing better. Those seem to be the two biggest drivers in our sales success as time progresses.
Rick Nelson: Okay. Daryl, used car values, your expectations there? And do you reduce inventory now? Or do you wait for demand to strengthen?
Daryl Kenningham: Rick, we started to – March 13 was sort of the date that we started taking action on used car inventories once we saw the demand was falling on the new and used side. And ideally, we want to get out of our inventory as judiciously as possible but also as quickly as possible. And I know you've looked at it. A lot of the Manheim market values; they've declined by as much as 16%; in some of the segments, as much as almost 20% since the middle of March. And we wanted to get in front of that as much as we could. So in the middle of March forward, we've been aggressively pricing on half of our inventory centrally to try to get out of it as quick as possible. We've made some headway, some significant headway in our inventory levels in used: one, because the values have dropped; two, because we know there's a lot of vehicles still to go through the auctions from the rental car companies, for example; and three, the OEMs have become very aggressive with their incentives. So none of those are good for used car values. So we wanted to get our inventories out as soon as possible. We were pleased with where we are so far. And then in April, we've started to do some modest acquisition, again, outside of our channel.
Rick Nelson: And finally, maybe you've covered this in the prepared remarks, but your SAAR expectations, how you see it developing over the remainder of the year and into 2021?
John Rickel: Yes. Rick, this is John. That's the difficult part, right, is that I don't think anybody has a real good crystal ball. We clearly have started to see some rebound, which is encouraging, but how fast and how far back it comes, that's what we're going to have to continue to monitor. That's why Earl's comments on adding people back somewhat depends on the return of the market. We're prepared for a variety of outcomes.
Rick Nelson: Okay. Got it. Thanks a lot, and good luck.
Earl Hesterberg: Thanks.
Operator: Our next question comes from John Murphy of Bank of America. John, please proceed.
John Murphy: Hi. Good morning, guys. I just wanted to start with a first question in how the automakers are handling the situation. It seems like they're being relatively supportive and have some concern about maintaining a strong distribution network being your dealerships. Just curious what kind of support you're seeing from them to get deals done, then also what's going on sort of behind the scenes on floor plan assistance and any other sort of pieces or items of help they might be providing you in the near term?
Earl Hesterberg: Yes. John, this is Earl. I probably should have added in the prepared remarks. The OEMs have been very supportive of us, virtually every brand in both the U.K. and the U.S. In my view, they have done the things they should do and the things they can do. And I've been very pleased with the level of OEM support almost across the board in both of those markets, things like eliminating targets, paying out at 100% levels and a variety of incentives, including some very powerful finance incentives right now, which are probably mitigating what, could even be a greater decline in new vehicle sales. So I really think, generally speaking, our OEM partners have stepped up for us.
Daryl Kenningham: John, this is Daryl. I agree wholeheartedly that OEMs have been very supportive in the U.S. for us. We've seen assistance. Since, you asked about floor plan. We've seen the OEMs be very flexible with their wholesaling of vehicles to us. If we've asked them to hold vehicles or if they've asked to help in planning out over the next two or three or four months, they've been extremely flexible and willing to do that. So as you know, their biggest challenge is getting production going again.
John Murphy: And then maybe a second question to that, follow-up to what you just mentioned, Daryl. I mean the inventory levels look like, given the demand levels that we know about right now, like they're pretty heavy. But if this restart on production kind of stumbles beyond the end of May and into June and we have another month like we did in April, depressed but still 700,000-plus units going out the door, you could see a weird environment that people aren't expecting right now of inventory being relatively short on the new vehicle side. I'm just curious what your take is on current new vehicle inventory levels. And if we went in other months or maybe two of even these depressed sales levels, how would you think about inventory? And I guess one of the really interesting things is as we're seeing GPUs on the new vehicles, the dealers that have been reporting so far as they've actually held up pretty well. Yours held up pretty well as well. I'm just curious if this dynamic on inventory and may be trying to save some inventory might be helping out there. Just sort of your thoughts on inventory in general?
Daryl Kenningham: Yes. John, I don't disagree materially with your statement. Right now, when you look at the absolute numbers, it looks like we're buried. If you project forward and look at a worse case with some of the plants not reopening, we could give then in some areas. So as we look at the snapshot today, we're not concerned. But as we project forward, we could see where there could be some shortages later in the summer.
John Murphy: Okay. And then just lastly, maybe even following up on that, I mean, you have two markets that you're uniquely exposed to Texas and the oil patch in general. I think there's been a lot of concern with what's been going on with oil prices. Those markets may get hit pretty hard and if you're talking about large pickups being strong, those are those markets. So just curious if you can comment on what you're seeing in Texas and other oil-related markets. And then also across the pond in the U.K., how we should think about the restart there, because it sounds like things are kind of naturally grinding back to life in the U.S., but it sounds like that's not the case in the U.K. so maybe if you can comment on that as well?
Earl Hesterberg: Yes. John, this is Earl. In the U.S. clearly there's a big shock going through the energy industry, which isn't good for some of our markets. However, the energy industry, much of its headquartered here in Houston; they got very lean when prices took a big turn down three years ago or whenever that was, the last oil shock. And so they're much more responsive and their costs are way down. But yes, these oil prices are so low; they're clearly shutting rigs down. And it's going to require some economic recovery for the whole world before those prices stabilize. We can't see anything in our business yet, but that's just a fact of life. The beauty is economies like Texas are pretty diverse and pretty strong and much more diversified every year with all the companies coming to Texas from other parts of the U.S. So we'll keep an eye on that. The beauty is we can adjust our cost structure much easier from the bottom up than from the top down. We took it down to the bare bones, and now we'll bring the cost back, commensurate with the activity levels we experienced in the marketplace. And that's just what we'll have to do. So if some of the heavy oil markets don't recover like some of the other markets in the U.S., then we just don't bring back as much cost. The U.K. is a little difficult to predict. It seems the earliest we could open there might be March 11.
John Rickel: May 11.
Earl Hesterberg: Probably the latest could be June 1, and something will come out in the next few days that maybe we'll give that more clarity. We do have a lot of cars to deliver, probably 4,000 or 5,000. Some are on our premises that customers just didn't show up to take. Others still have to be shipped from the various ports or holding centers that the OEMs have. There's also quite a bit of pent-up service business I perceive in the U.K. because basically, there's only been breakdown service done now for 45 days. Although there's been some dispensation made, everybody in the U.K. has to have regular inspections on their vehicles, government-mandated. We have a lot of people trying to get in for that. And so we'll see how the recovery occurs in the U.K., but it is coming from a standstill. So that is quite a different situation than the U.S.
John Murphy: Great. Thank you very much.
Operator: And our next question comes from Armintas Sinkevicius with Morgan Stanley. Please proceed.
Armintas Sinkevicius: Great. Thank you for taking the question. When we started the year, we were focused a lot on parts and services, your ability to hire technicians and advisors that being up on the technician side, roughly 13%. As we think about it here, parts and services has been more resilient than vehicle sales. But maybe you could help contextualize how we should think about parts and services going forward? How many of the technicians have been affected by the recent actions you've taken around employee count?
Daryl Kenningham: We expect that parts and service will recover nicely. We see that in some of the metrics we watch every day. Our inbound call center with accounts there every day are looking better and better. Our online scheduling numbers are looking better and better every day. So we expect those trends to recover nicely. In terms of the technician headcount, we did furlough some technicians. I can tell you, we started with lower-skilled technicians first. Obviously, the ones we want to retain, the hardest to retain, the toughest to acquire are higher-skilled technicians. And we've worked very hard to try to preserve that for skilled technicians in the stores.
Armintas Sinkevicius: Okay. And then with regards to Acceleride and the impact that COVID has had on online sales, any change in your philosophy, whether it's capital allocation, spending emphasis with regards to the push to digital and delivery?
Daryl Kenningham: No formal things that we would announce today on it. We will tell you we [indiscernible] larger part of our world moving forward at a faster rate. We always believed in it, and that's why we've had our stores on it for so long. But we believe as customers get more comfortable through this cycle with it, it would become nothing but a bigger piece of our business. And part of it is our store is getting more comfortable with it as a tool to service customers, and we're seeing that in a lot quite...
Armintas Sinkevicius: Okay. And any areas that you would spend – if you made the decision to further emphasize this initiative, what would you spend on? What do you feel like still needs to be sort of enhanced to have the capability that you envision down the line?
Daryl Kenningham: Well, certainly messaging to customers is important to show how easy it is, how simple it is. Ensuring that process is matched in the store is certainly important. And there's some tools and things in the store we can do there. The technology itself, we feel like is pretty good.
John Rickel: Yes. I would say the key point there is there's not a large CapEx build that goes with it. The team did a great job of kind of redeploying existing spend when we started putting this in 18 months ago. What Daryl is talking about is kind of where you would spend your advertising dollars that you're going to spend anyway, so there's not a big CapEx bill that would go with kind of additional enhancements to this.
Armintas Sinkevicius: Okay. And then my last question is just you've noted the week-over-week improvement to vehicle sales, given that the shelter-in-place rules have been in effect through April. Can you talk us through the demographics or the characteristics of customers that you're seeing that are coming in to buy cars in this environment? Is it people trying to buy cars instead of flying? Is it emergency responders? Is it people avoiding ride-sharing to the extent that you have visibility on what's driving the sales today? That would be interesting.
Daryl Kenningham: A lot of what's driving it are the incentives that are out there, including the zero percent financing that's available by many OEMs. That's what we have been able to glean so far.
Armintas Sinkevicius: Okay. Presumably that zero percent financing could continue given where rates are. Is that true or any other variables we should be mindful of?
Daryl Kenningham: Yes, I would think.
Armintas Sinkevicius: Okay. Great. Thank you for taking the questions.
Operator: And our next question comes from Michael Ward of Benchmark. Michael, please proceed.
Michael Ward: Thank you. Good morning. Just a follow-up on the U.K. You said you had 4,000 to 5,000 units that basically were ordered but weren't delivered. Is that correct?
Daryl Kenningham: That's correct, Michael.
Michael Ward: And so is that March and April?
Daryl Kenningham: Well, they were basically March units. We've sold several hundred online and via phone in April. But of course, we couldn't deliver any. So I would say the majority of those were contracted in March, and we could not get delivered, but there were several hundred others that we've added to the pile throughout April.
Michael Ward: Okay. Now are most of those businesses your fleet and so they're under contracts, so they'll come back? Will you see those in the second quarter? Or as the vehicles are available, is that how it will work? Or...
Daryl Kenningham: No, very few are fleet. Technically, some individual sales in the U.K. are what they call user chooser. So there are some user chooser units in there, which individuals bought with their company's money, but that's kind of normal business, and the delivery is kind of like a retail delivery. So there is some of that in there, but there is no fleet as we would define it in the U.S.
Michael Ward: No, no, no. No, I understand that, but it's not private buyers. So they're business-related.
Daryl Kenningham: Yes. Most of them are private buyers, most of them are.
Michael Ward: They are, interesting. Okay.
Daryl Kenningham: Yes, they are, for sure.
Michael Ward: Okay. So now one of the things I noticed, if you go back on your track record in the 2008 and 2009 period, you guys didn't have one quarterly loss and volumes were down like they are today down 30%, 40%. Have you pulled enough levers where you can pull that off in the second quarter? Or is the U.K. too much of a disruption?
John Rickel: Yes. Mike, this is John Rickel. The difference, I would tell you in 2008 and 2009 was that parts and service was a lot more resilient. We didn't see parts and service down 25%, 30%. So that's certainly one difference, and yes, your other point is the fact that we're not able to operate at all in the U.K. and we don't know when we're going to be able to do, whether it's May 11 or the first of June makes that a bigger wildcard. Now against that, we've been very aggressive on the cost reductions. The guys have done a fabulous job on that. So it's not impossible, but it's difficult to predict it here tonight or today.
Michael Ward: That will be a hell of an accomplishment given the – certainly the scenario of what's going on in the marketplace. That's for sure. Well, thank you very much. I really appreciate it.
Earl Hesterberg: Thank you.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Earl Hesterberg for any closing remarks.
Earl Hesterberg: Okay. Thanks to everyone for joining us today. We look forward to updating you on our business progress on our second-quarter call at the end of July.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.